Operator: Good day, and welcome to the NorthWestern Corporation Year-End 2013 Financial Results Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Travis Meyer. Please go ahead, sir.
Travis Meyer: Thank you, Melissa. Good afternoon and thank you for joining us for the NorthWestern Corporation financial results conference call and webcast for the year-ended December 31, 2013. NorthWestern’s results been released and the release is available on our website at www.northwesternenergy.com. We also filed our 10-K after the market closed, yesterday. My name is Travis Meyer; I’m the Director of Investor Relations and Corporate Planning. Also joining us on the call today are Bob Rowe, President and CEO; Brian Bird, Vice President and Chief Financial Officer; Heather Grahame, Vice President and General Counsel; Kendall Kliewer, Vice President and Controller; and John Hines, Vice President of Energy Supply. Before I turn the call over for us to begin, please note that the company’s press release, the presentation, comments by presenters and responses to your questions may contain forward-looking statements, as such I will remind you of our Safe Harbor language. During the course of this presentation, there will be forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements often address our expected future business and financial performance and will often contain words such as expects, anticipates, intends, plans, believes, seeks, or will. The information in this presentation is based upon our current expectations as of the date unless otherwise noted. Our actual future business and financial performance may differ materially and adversely from our expectations expressed in any forward-looking statements. We undertake no obligation to revise or publicly update our forward-looking statements or this presentation for any reason. Although our expectations and beliefs are based on reasonable assumptions, actual results may differ materially. The factors that may affect our results are listed in certain of our press releases and disclosed in the company’s public filings with the SEC. Following our presentation today, those who are joining us by teleconference will be able to ask questions. The archived replay of today’s webcast will be available beginning at 06:00 pm Eastern Time today and can be found on our website at www.northwesternenergy.com, under the Our Company, Investor Relations, Presentations and Webcasts link. To access the audio replay of the call, dial 888-203-1112, then access code 9765306. Again, that’s 888-203-1112, access code 9765306. I’ll now turn it over to our President and CEO, Bob Rowe.
Bob Rowe: Good afternoon and thank you all very much for joining us. I hope you all had good holidays with your families. We’ve received some positive feedback to the change in the format of the presentation for these calls; and Travis gets primary credit for that. Also we enjoyed meeting with a number of you at our Analyst Day in December and the feedback after that as well. I will touch on a few of the highlights, will come back and discuss these then in more detail. Obviously the first and biggest bullet is our proposed hydro acquisition that we announced in September of 2013, $900 million purchase of 11 hydro facilities and a storage reservoir that will be dedicated to serve our Montana customers. Natural gas acquisition in December of 2013 and we’re very pleased with the way that is playing out for the benefit of our customers at this point. We placed the Aberdeen Generating Station into service for our South Dakota customers earlier in 2013. We received a natural gas delivery rate adjustment in Montana, effective on April 1, 2013. And we successfully accessed the capital markets to fund our investments project and extend our debt maturities including the sale of equity of almost $57 million last year, extending the maturity of our revolving credit through November of 2018 and issuing $100 million in 2015 of 30 year mortgage bonds in December last year. Already this year we’ve received an upgrade from Moody’s in January, very pleased with that of course. And then as you know the Board has now declared an increase in our quarterly stock dividend, payable March 31st, it’s a 5.3% increase from $0.38 to $0.40 per share. And now, I will turn the presentation over to the very best Chief Financial Officer in the sector, Brian Bird.
Brian Bird: Wow Bob, thanks. Good afternoon. Next slide talking about summary financial results shows net income for the year of $94 million compared to $98.4 million the previous year, a reduction of $4.4 million; and on a diluted EPS basis, $2.46 per share this year versus $2.66 per share prior year. I’m going to get into each of these items in bit more detail at the following slide, so with that moving over to gross margin. From a gross margin perspective, effectively the same gross margin, approximately $675 million this year that we had in 2012. And typically when we all are excited about gross margin being exactly the same, but when you consider we had approximately $48 million benefit in our results last year as a result of the gain and CELP arbitration decision and that was actually a very, very good year in terms of gross margin for us in 2013. In fact, if you exclude the CELP arbitration, we had a $7.6 million increase in gross margin for the year. And that increase is primarily made up from increases in volumes in both our gas and electric business. You might recall 2012 was a very mild weather year for us. So, we did get some recovery in volumes this year. We did add natural gas production during the year and had a full year effect from some assets to be put in place the prior year. We did have a natural gas rate increase of $6.6 million attributed to that; had a full year benefit from Spion Kop this year, $5.6 million associated with that. We did not have as bigger impact if you will from the DGGS that we had last year, $5.1 million associated with that. And other growth in our electric transmission business and natural gas transportation, those items primarily, those increases there more than offset the CELP arbitration decision. So again, very, very good gross margin growth if you will on an adjusted basis. Moving ahead to operating expenses, operating expenses were up $6.2 million or about 1.2% but in fairness when you exclude the MSTI, we did have a MSTI impairment in 2012, when you exclude that, our operating expenses were up about $30.2 million or 6.4% on a year-over-year basis. Of that $30.2 million increase, half of that would be associated with increases in property taxes and depreciation, you can see as the bottom two bullets on this page. And we expect to see higher property tax and depreciation as we continue invest in our business. The other half is associated with increases in our OG&A or operating general and administrative expenses. And as you can see on that page, some of the first items, the DSIP expenses were up $12.4 million and look at labor a couple down from that, up about $4.4 million. We anticipated increases there and we planned that in light of we knew we have decrease in our pension and employee benefit costs. And those costs, you can see that minus $15.4 million down below, really effectively offset one another and were planned for as we looked ahead. And so as we layered in DSIP expenses that offset pension that helps. So where were the remaining increases in OG&A, we did have $4.5 million of hydro transaction costs that we did incur and we also had costs again growing business, we had incremental plant operating costs, incremental gas production costs for part of those expenses. And again that pretty much covered the remaining increase if you will of that 30.2 that I talked about earlier. All-in-all, I think from our perspective that increase in expenses again is primarily attributed to growth in our business and in making investments in parts of business we think make sense for customers. Moving forward to the next slide and taking you from operating to net income. At the top of the page you note, it says operating income decreased to $6.2 million, if you really adjusted those two things I adjust in the prior two pages, backing out, the CELP and backing out the MSTI write-down from the prior year, actually operating income would be up $18 million on a year-over-year basis versus the down $6.2 million. So again, feel good about what we are doing from an operating income perspective as a business. Below operating income interest expense was higher, we did have higher interest expense associated with bridge fees that we had put in place associated with the hydro transaction, we also did, as Bob pointed out earlier in the call issued some long-term debt, so we did have higher debt costs on a year-over-year basis. And interest on some of the amounts that are subject to refund that was mentioned later. In terms of other income, I think people know that there are increases that you will see and we call our non-employee directors’ deferred comp that shows up there is an increase in our OG&A that is offset with increases another income that's shown here. We also had higher capitalization of AFUDC that helped have an increase in other income on year-over-year basis that partially offset the increase in interest expense. Net income before taxes was $108.3 million versus $116.5 million in the prior year, down $8.2 million. That resulted in tax expense. The differential there we did have lower tax expense partially from the lower pre-tax income, but also from our lower effective tax rate. We had 13.2% effective tax rate in 2013 versus 15% in 2012, so again net-net $94 million in ‘13 versus $98.4 million in 2012. Moving ahead on the next page to the balance sheet, not a lot of movement there, I would point out though from PP&E perspective the company continues to invest in the business. PP&E went over $3 billion in that 2013, shareholders’ equity actually went over $1 billion in 2013, so bit of milestones associated with balance sheet there. I think we do highlight at the bottom of the page a measure that we continue to focus on from a credit perspective that the capital we like to be within the 50% to 55% range and we ended the year much like we did last year slightly above that, but because of how cash flows work in our business, we typically see that highest number at the end of the year. Our average debt to capital for 2013 on a quarterly basis was 53.8% well within our 50% to 55% guidance that we like to think about from a credit perspective. Moving onto the next slide in terms of cash flow, one thing that I want to point out to make sure people did see our cash provided from operating activities was down quite a bit in 2013 versus 2012 that $57.5 million decrease is primarily driven by three things. The first and foremost was a $34.2 million decrease in collection receivables and that was primarily as a result of $20 million associated with billing delays. We did put in place a new customer information system during the year, that’s good news that was not much of about news item at all. We had a very, very successful transition to our new customer information system, but in fact we did plan to stop collections for a period of time as we put that into place. We understood there will be billing delays and that as a result did impact our business by about $20 million during the year, we are now back up to full speed both from a billing perspective and collection and we do expect recovery of that shortfall in 2014. We also had increased revenues during the year that also impacted the increase, excuse me the decrease in cash was associated with collections from customers. The other primary driver is approximately $17 million of under collection supply cost. And I think people are aware that that can swing either way on a year-to-year basis, but in fact that under collection impacted cash flow by approximately $17 million and higher interest payments of $6.5 million are the primary drivers there. I think from a capital perspective, we invested nearly the same amount of capital on a year-over-year basis primarily the difference is really the difference in growth projects on a year-over-year last year with investments in Spion Kop and the Peaker versus investments this year for instance in gas production were the primary differences if you will. Maintenance CapEx is very, very similar on a year-over-year basis. Moving forward to our adjusted EPS schedule, on adjusted basis we moved from $2.46 to $2.50 a share in 2013 compared to 2012 on an adjusted basis $2.37, a significant increase you can capture that really at the bottom of the page about a 5.5% increase on adjusted basis. We certainly talked about earlier in the call on a GAAP basis we’re down 7.5% as shown on the bottom half of the page as well. The other thing I’d point out here is on a quarter-over-quarter basis we were ahead of year-over-year results on adjusted basis each of the first three quarters. You might recall when we adjusted our guidance we did note that there were some additional expenses we expected to incur in the fourth quarter and that did result in impact our fourth quarter results. Another thing that did as well is you may have seen our tax rate came in at 13.2%. Had that tax rate came in at our forecasted 12%, the $0.75 adjusted EPS number you see for the fourth quarter of 2013 would have been at $0.78 and right inline what we've seen from the prior year. That also would have increased to $2.50 adjusted diluted EPS for 2013 up to $2.53. Now I’m going to move to kind of smacked up in the middle of our adjusted guidance of $2.45 to $2.60. The reason that tax rate did creep up is we didn't have as much repairs, expense deductions this year than we thought and primarily as a result this we did have to slow our capital investment in December in light of some very difficult weather. And thus we didn't get as much work done there as we initially planned. And that it really has the major impact on our tax rate. With that, I'd move you forward thinking about 2014 again reaffirming today 2014 guidance of $2.60 to $2.75 as you would expect to hear from us. Normal weathers of course taken a consideration in that guidance range. We are excluding anything associated with the hydro transaction that means we're excluding any costs that we might incur in preparation for the hearing and ultimately closing the transaction assuming a regulatory approval and we are certainly excluding any revenue that might occur, if there were a regulatory approval there. We’re also excluding any impact with any decision and your guess is as good as ours in terms of when we would get that decision. Last thing I’d point out tax rates here as a result of bonus going away from our perspective primarily in changes our tax rate going up in the range of 14% to 16% in 2014. We do show drivers off to left hand side. We put a bit of finer touch on those than we had in previous calls associated preparation of our guidance we showed you before we tied that in a bit; you can take a look at that. And lastly I’d leave you on this page that we do continue to provide a targeted 7% to 10% total return for our investors on a going forward basis. With that I’ll turn it back over to Bob.
Bob Rowe: Thank you, Brian. On slide 13, this is the story of our investment actually since I joined the company in 2008 and we feel very good about what we’ve done for all of our stakeholders. And you’ll see at the top, the increases in rate base and these are company-wide figures inclusive of full year of 2013, so little different from what some of you’ve seen before. Over that period our investment in the rate base is dedicated to serve of our customers company-wide, again almost 13%. Our GAAP diluted EPS of almost 7%, 6.7%, but at the same time that we’ve been investing in the infrastructure that serves our customers we have been very thoughtfully I think managing the bill impacts to those customers. So you’ll see and again these are company-wide averages. The electric retail revenue on a megawatt hour basis for typical residential customer has only increased about 2.5% over this period and natural gas retail per Dekatherm has actually declined 6.1%. So we are investing our system where producing a return for our shareholders and they are managing the costs that are faced by our customers, up move through some of the subjects with that in some cases are monthly holding (inaudible) summer a little bit newer. The first issue of course is the long standing open issue we have at the federal energy regulatory commission concerning cost recovery on the federal portion, federally jurisdiction portion of Dave Gates Generating Station. As most of you know well, we've been, we have requested, reconsideration of a FERC administrative Law Judge decision, we have not yet received that decision. We are under FERC restrictions in terms of communications. With the commission there is no schedule, we do know that it is not on the FERC commissioner’s calendar for this month, there are open meeting that because I think is in fact this Thursday. We have a cumulative deferral at this point of $24.5 million as of the end of December 2013. And continue to defer revenues about $700,000 a month, we will continue to build our FERC jurisdictional customers on interim rates that have now that it effects since January of 2011 these are of course subject to our refund close interest. Very importantly DGGS is a three unit gas fire turbine designed to have two units operating, one unit in operating reserve. Two unit availability is the 98.3%, since it came online and it has been allowing us to meet our obligations is a balancing authorities specifically to meet CPS to the control protocol standard tool. So plan is doing exactly what it is supposed to do for the network and for our customers regardless of jurisdiction. The next page the Big Stone and Neal air quality projects, these are two coal plants to serve our South Dakota customers, both projects moving along extremely well. On the Neal side the project is actually substantially completed in 2013 ahead of schedule on that plant and the project is currently in-service. On the Big Stone side, we expect the project to be completed by 2016 and we are actually very pleased with both project management and budget management at Big Stones, we are very encouraged where that project is going. Moving to the natural gas side and as all of you know, we are really unique in our ability to use our extensive natural gas and gathering storage and transmission system and its adjacency to traditional long asset type gas production asset. So we did finalize our third natural gas production at position which we refer to as (inaudible) in acquisitions given on December 2nd that involve the purchase of 63, BCF of proven reserves and an 82% interest in Havre pipeline total of $80 million to $68.7 million. This is our largest natural gas acquisition also coming over where 29 employees added to our 14 already current gas production employees. Just by coincidence we were up in Havre doing the onboarding where the new employees from Devon in December turned it into the coldest day at Havre Montana just below the Canadian border since the late 1930s. Great people were acquiring in addition to the assets and they really will help us strengthen our gas production capabilities. The Montana Commission approved the structure of the transaction in October of 2013. So we now manage an additional 900 wells and 82 miles of transmission in the Bear Paw basin. So we have now interests in over well over 1,000 gas production wells. We will be continuing to use our natural gas tracker to recover costs in a way similar to Battle Creek and the Bear Paw North project. 20 year of levelized price for Bear Paw South was around $4.10 per dekatherm. We are very pleased with our results as we have seen what the market has done here most recently. Based on 2014 estimates the transaction increased the own supply for our Montana retail gas customers from 8% of the gas we’ve delivered to our Montana customers to about 32%. And you will recall we have discussed the relatively, the predictable depletion rate in these kinds of acquisitions and in fact the depletion rate that’s reflected here is really exactly consistent with what we have anticipated coming into the year. So the field is really performing just as we had hoped and expected. Turning to a little bit bigger picture review on slide 17. We do have about an 18% unfilled commissions to reach our targeted 50% own supply. And then again add to that the depletion such as I just described. Also we continue to be interested in where it makes sense in acquiring gas production to take some of the fuel risk out of Dave Gates Generating Station and the leased Basin Creek facility again to provide some long-term fuel price stability for our electric customers as well as for our gas customers and interestingly our even now as we go to the current year our weighted cost of own gas is under the current cost projections for the next year. At the bottom of the page, you see the chart with again relatively stable [T&The] gas prices at the bottom. And the volatility of the market, there were those who thought that volatility was gone forever as experienced over the last several months certainly confirmed that that volatility is very much alive and well in the gas markets. And we feel very, very good about what we've been able to do for our natural gas customers as a result. Slide 18, the distribution system infrastructure project, this is a major initiative in our Montana system both gas and electric focused on (inaudible) and the infrastructure, maintaining reliability, proactively managing safety, building capacity in the system and making the system ready for the adoption of new technologies. We are very pleased with where we stand here as well after two years of ramp up. 2013 was our first year, a full production in these the project team. I think these two have had tremendous job, we had turned into nearly a half day discussion with the Montana Commission just several weeks ago, as we gave them an update on the (inaudible) project very, very lively and good discussion there. Again, we're pleased with the Commission's understanding of and we believe support for that effort. Turning to the pending hydro transaction. Slide 19 to summarize as why we think this is really historic tremendous opportunity first and foremost for our customers for the communities that we serve in Montana many of which are adjacent to these facilities and virtually everyone in our Montana service territory cares a lot about the rivers and lakes that are related to this system and a great opportunity for our employees and certainly for our investors as well. We’re moving ahead in a lot of different fronts including in resources area some great meetings with the employees that we hope will be coming over once the transaction closes and obviously and off a lot of work on the very critical regulatory front. We planned to close in the permanent financing about the $500 million, debt $400 million of equity and up to $50 million of free cash flow. If for some reason capital market access is limited we do have the option of closing into a $900 million, our already committed bridge facility with Credit Suisse and Bank of America Merrill Lynch. Page 21, little bit of an update. As you know we announced the transaction in late September, I had a good pre-filing informational meeting with the Montana commission in mid October, secured the bridge facility, filed the application for approval on December 28th. This was a comprehensive application factoring in the testimony exhibits and work papers I believe the total size of the application would equal right around 5,500 pages. So it’s very thorough application. Also filed the required applications with the FERC in early January, there is a license transfers and we’ll be seeking antitrust approval of the transaction in the second quarter. Montana Public Service Commission is setting hearing currently for July 8, and right now we’re in the middle of the discovery process. And as of right now, we are actually responding to the data request process, 555 question; that’s questions and sub-questions. So it’s a complicated and obviously a very, very serious process. We give you the URL for additional information and we do look forward to commission decision by mid September of this year. Finally, just to touch on a couple of other highlights from 2013. The first item is very, very important to us, it was the best year for safety as NorthWestern Energy in terms of fewest lost time incidents and also recordable events of any year on record. And this is what was also most of us would agree, the busiest year on record really across the company. So, I could not be more proud of our employees for that record. Second and early as important, we have the best customer satisfaction scores, again in our history in 2013 from JD Power. Next, continue to provide very high electrical liability first cortile in South Dakota, second cortile overall. And do keep in mind that as we are doing these decent projects that does involve taking some customers out of service as we go into do the work. I mentioned the first full year of DSIP investment, we are on track for a five year plan, the project management team continually evaluates and makes necessary modifications in that plan. So from a project management perspective, I am also very pleased with where we are. And Brian touched on the transition issues as we converted to a new customer information system or so called the electronic CIS, and very pleased with the outcomes, the functionality that we have achieved through that and with the process, I think because we did so much of the work internally with such a high level of engagement. We got the system that we need and we did it very cost effectively. And we were again for the third time named as one of Forbes’ trustworthy companies out of a universe of publically traded companies or I think around 8,000. We caught and scratched our way under the Fortnightly 40 list of the best utilities in the United States, very pleased with that again reflecting that sustained value for our shareholders. And another one I think that is very meaningful to us, we submitted our Ethics program to an evaluation by Cordpedia which is subsidiary of the New York Stock Exchange and received an A for our corporate Ethics program, this is a living document, it’s the starting point for our strategic analysis for any initiatives and something we train, you will see it on our employees desks as you travel around the company. And that put us in the top 2% of all energy and utility companies. So again thank you for your interest and your support for the company. And now we will open it up to your questions.
Operator: Thank you. (Operator instructions) And we will take our first question from Brian Russo.
Brian Russo - Ladenburg Thalmann: Hi, good afternoon. Just assuming the hydro transaction is approved and you get a full year contribution base rate in ‘15, can you just remind us of your dividend policy and when might your -- and how should we view future dividend increases as earnings step up with hydro assets in rate base?
Brian Bird: Hey Brian, it’s Brian. I tell you that we think seriously about our 60% to 70% payout, we think that’s an important payout to be competitive to track capital as we compete the capital with other utilities. And our expectation is we continue to provide a dividend of 60% to 70% payout basis with or without the hydro transaction.
Brian Russo - Ladenburg Thalmann: Right. So assuming the hydro transaction is completed and should we kind of assume a February dividend of 2015 dividend announcements, kind of inline with your current announcement on the dividend?
Brian Bird: Yes, I think that’s typically how we have done things Brian and that would be my expectation, my guess if there is an approval on a closing prior to that, there would be discussion at the October Board meeting but historically we’ve talked about dividend policy in February.
Brian Russo - Ladenburg Thalmann: Okay, great. And then the CapEx table in the 10-K starts to moderate post 2016 and it seems that you guys are going to be in a positive free cash flow position after dividend. So, I was just curious what your thoughts for cash redeployment to back to shareholders or are there longer term investments that you can make at the utility that’s not reflected in the CapEx?
Brian Bird: That’s good question, Brian. I think we try to point out in the disclosure there that there are certain projects that we continue to evaluate, particularly on the transmission side of the business, potentially on the energy supply side of the business. But particularly, when you get out in 2017, 2018 time period, we’re not sure exactly what those projects are yet and what the amounts are. So, until we identify what those projects are, you are going to see a tapering off our capital investment. It is our expectation though that on a going forward basis, when we get some idea what those projects should be, we could see those numbers increasing up once again.
Brian Russo - Ladenburg Thalmann: Great.
Bob Rowe: And actually it goes to the point we were making to in terms of trying to manage our capital investment back in the infrastructure in ways that produce value for our customers and manage overall customer cost. But clearly, we will have a number of areas that we need to focus, again if we are successful in the hydro transaction. And that’s too really across the business.
Brian Bird: One other thing Brian, I would point out and we’ve mentioned this before, if for instance we did get out in the 2017, 2018 period and we did what put ourselves back into pretty positive free cash flow position, we have been paying at the low end of that 60% to 70% band. And our expectation is we would probably move up within the 60%, 70% band again to return capital to shareholders, if it’s not necessary to invest in the business.
Brian Russo - Ladenburg Thalmann: Okay, great. And then just curious that the $100 million of debt that you issued in December of ‘13, does that satisfy your debt issuances for ‘14 ?
Brian Bird: It’s from our perspective, debt is primarily terming out to what we had in our revolving credit facility and to help fund our gas production investments during the year. We take a look at that on a year-to-year basis. Our expectation of primary debt capital that would be raised in 2014 is going to be associated with the hydro transaction again assuming an approval.
Brian Russo - Ladenburg Thalmann: Understood. Thank you very much.
Operator: Thank you. (Operator Instructions) And we’ll take our next question from Jonathan Reeder from Wells Fargo.
Jonathan Reeder - Wells Fargo: Hey good afternoon gentlemen. Hey Brian, is it safe to interpret that the 7% to 10% total shareholder return expectation that you identified is affirmation of the 4% to 6% EPS growth target?
Brian Bird: Yes I think even I understand that point, Jonathan it’s on a pre-hydro basis. Certainly our expectation is we’re going to be able to deliver that 4% to 6% quite easily. On a post-hydro basis again we talked about this at our Analyst Day, it will be hard to invest that much capital on a going forward basis to continue that growth rate, but our expectation is we should be able to achieve further lower into that range from the earnings perspective. But again in any case, we expect to be able to provide the 7% to 10% then I talked about in terms of total return. Obviously from a starting point today, if the hydro transaction would close because just of the size of that transaction, our expectation is we would be able to do quite better than that in the short-term.
Jonathan Reeder - Wells Fargo: Okay, got you. And then can you elaborate on just the reaction to the hydro transaction amongst your important constituents within Montana, I know it’s been a few months now there has been some hearings and everything, how is the reaction then?
Bob Rowe: Well, the reaction from customers has been just really overwhelming in a way that you don’t see very often over a utility matter. This by coincidence in January and February every year, we go out and hold community meetings in conjunction with the University of Montana. And we’re obviously talking a lot about the hydro transactions, customers are very, very positive. There was a (inaudible) truly when the facilities were sold in Montana there is a feeling that those are being restored and we’ll be rededicated to serving our Montana customers, prices based on cost. I think the reaction has been particularly strong in some of the communities that are near the facilities. We had a couple of community meetings in Great Falls, Montana now and those have been particularly positive. So in terms of I would say, we talked on the last call I believe about some of the reaction from legislator. So in terms of kind of the public reaction to it, it could not be really any more exciting. I have to say too that our employee response has been really tremendous because these were assets that our employees cared very, very deeply about as well. So that's been a [neat] part of it. And again, at this point I have to emphasize just how important the regulatory process is, how hard our employees involved in that effort are working, we all consider this to be maybe the most important than any of us will ever work on and that's the spirit that we’re all taking.
Jonathan Reeder - Wells Fargo: In the light of the kind of the regulator response, I know there was a hearing not too long ago where some of the commission there is kind of expressed some opinions, if you could I guess elaborate on what you are able to kind of gain from that?
Bob Rowe: And my answer really went to the public response that the process at the commission is serious, it’s complicated. I mentioned the size of our initial filing remember data request that we have responded to in one way or another, a couple of key milestones in a regulatory process. We did make a supplemental filing including some additional modeling runs and that filing, in our view certainly affirmed that we made the correct resource choice with the hydro acquisition. Last week there was an oral argument on our motion to really put some side boards in some discipline on what is already maybe an impersonator that would nearly unprecedented the scope of discovery to commission deliberated in an open work session on that yesterday and we were again recognizing these are important subject and we were pleased that where we stand right now, the proceeding will, I have to cover little bit more focused and disciplined than would have been the case otherwise, but directly it will be certainly very complete. I mentioned that this is -- for those of us working on it at the company this is one of the most important activities we’ll ever participate in and we think for our customers one of the very best things we can do over the long-term for I have to believe that the commissioners and staffs are taking a similar view on this really, really matters for our customers and matters a great deal and I think for the State of Montana as well. So it’s tough, it’s complicated as we expected going into front door, but we certainly are pleased that the commission is focusing on this and we think is managing the process forward.
Jonathan Reeder - Wells Fargo: And then from a timeline perspective I mean you believe September 16th is still a good date for final decision or just based on the complexity and the fact that you did need to make that supplemental filing to the record, do you believe the procedural schedule could get pushed out a bit?
Bob Rowe: We and ultimately it will be the commission’s decision. We have (inaudible) possible on our side to ensure that the procedural schedule is met and we’ve reached out to other parties in the commission staff to ensure that as well. And certainly from, I think very solid approach to determine is taking to managing this docket certainly appears that he is also committed to running a thorough but very professional process. So we are hopeful that the schedule will hold and that a decision will be timely.
Jonathan Reeder - Wells Fargo: Alright thanks for the additional info.
Operator: (Operator Instructions) And sir, there are no further questions in queue.
Bob Rowe: Okay. Well, thank you all very much for joining us today. Obviously there is a lot going on and we're very excited about it and committed to the work committee to get done before talking to many of you next quarter and some of you before then. Take care.
Operator: This concludes today's conference. Thank you for your participation.